Operator: Good morning. My name is Virgil and I will be your conference operator today. At this time, I would like to welcome everyone to the Kinross Gold Corporation Fourth quarter and Year-End 2017 results conference call and webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Tom Elliott, Senior Vice President, Investor Relations and Corporate Development, you may begin your conference.
Tom Elliott: Thank you and good morning. With us today, we have Paul Rollinson, Chief Executive Officer; Tony Giardini, Chief Financial Officer; Lauren Roberts, Chief Operating Officer and Paul Tomory, Chief Technical Officer. Before we begin, I would like to bring your attention to the fact that we will be making forward-looking statements during this presentation. For a complete discussion of the risks, uncertainties and assumptions which may lead to actual financial results and performance being different from estimates contained in our forward-looking information, please refer to page 2 of this presentation, our news release dated February 14, 2018, the MD&A for the period ended December 31, 2017 and our most recently filed AIF, all of which are available on our website. I will now turn the call over to Paul.
Paul Rollinson: Thank you, Tom. Good morning, everyone and thank you for joining us today. I want to begin this call by saying how proud I am of what our team has accomplished and how excited I am for what the future holds. 2017 was another impressive year for the company across a number of areas, including our operational performance, financial strength, advancement of our projects and meaningful exploration results that have delivered mineable ounces to our operations. Our accomplishments in 2017 have laid the foundation for an exciting year ahead. I’ll first touch on 2017 results and then 2018 guidance before turning the call over to the team for additional details. We are very proud of our operational track record and I'm pleased to report that we have met our guidance for production, costs and capital expenditures for six consecutive years. We ended 2017 at the high end of our production guidance and the low end on both cost of sales and all-in sustaining costs. This is the result of standout performance from a number of operations, notably Round Mountain, Bald Mountain and Tasiast. We continued to maintain our strong balance sheet, adding to our cash position and ending the year with $2.6 billion of liquidity. We have the financial strength and flexibility to invest in our future, as we execute on five projects and advance three additional development opportunities. Throughout 2017, we met key milestones on all of our -- on our pipeline of projects, including advancing the construction of Tasiast Phase I, approving and advancing the Phase II project, execution of Round Mountain Phase W, completing the pre-feasibility study and advancing engineering and permitting for the Bald Mountain Vantage Complex, completing the September northeast project and advancing development of the Moroshka deposit, accelerating the drill program and initiating a pre-feasibility study at Tasiast Sud and adding the Fort Knox Gilmore project to our development pipeline. Gilmore is the newest addition to our development pipeline and represents a promising opportunity to extend mine life at Fort Knox. We have more than doubled M&I resources as a result of gaining the mineral rights to the land adjacent to Fort Knox. Gilmore is another example of our strategy of pursuing low risk, high potential Brownfield projects that can contribute to the long term future of the company. I look forward to sharing the results of the feasibility study, which we expect to complete by mid-year. 2017 was a strong year for reserve and reserves additions at a number of our mine sites. Excluding the impact of the Cerro Casale sale, we added to our total reserves net of depletion. We also extended estimated mine life at each of Round Mountain, Paracatu, Fort Knox and Kupol. In addition, we replenished our resource estimates ending the year roughly in line with 2016 and creating further reserve conversion potential. Turning now to the year-ahead, we are forecasting another solid year from our operations and expect to achieve a number of milestones at our projects. Production is expected to be approximately 2.5 million ounces. This is in line with our average annual production over the past several years. However looking forward, we expect to be at or slightly above 2.5 million ounces over the next three years. All-in sustaining costs are expected to be approximately $975 per ounce, which is in line with the midpoint of our guidance from last year. Our capital expenditures are expected to be higher year-over-year with 2018 forecast to be approximately $1.1 billion. This reflects the investments we're making on our development projects as we leverage the financial strength we've built to invest in our future. In addition to operational excellence and financial strength, which are both core strategic priorities for us, we are highly focused on the successful execution of our development pipeline. We have a number of key milestones planned for 2018, including completion of Tasiast Phase I, ramping up construction of Phase II, commencing mining at Moroshka in Russia, advancing construction of the Phase W and Vantage projects in Nevada, completing the Gilmore feasibility study, completing the Tasiast Sud pre-feasibility study and receiving the remaining sectorial permits for the La Coipa restart project. We have the technical bench strength in place and our teams are highly focused on achieving each of these milestones. Finally, I'd like to highlight last night's announcement that we have reached an agreement to purchase two power plants in Brazil. We see this as an investment in infrastructure at Paracatu, along with core assets in one of our largest producing mines. Paracatu is also the largest power consumer in our portfolio. With power cost projected to rise, we have been exploring options to reduce the cost of this key input as part of our ongoing continuous improvement efforts. This transaction represents a compelling opportunity that allows Paracatu to lower its cost of sales by approximately $80 per ounce over the life of mine. The plants are expected to supply roughly 70% of our future power requirements, thus locking in a key cost component. In addition, this also allows us to benefit from Brazilian legislation that reduces tariffs to companies that generate their own power supply. These tariff savings represent approximately $15 of the expected $80 per ounce savings. We are pursuing debt financing of approximately $200 million to fund the acquisition with the balance to be paid from existing cash and liquidity. The transaction is expected to generate an attractive return with a levered IRR of between 15% and 30%, depending upon the final terms of the planned debt financing. I'm excited about the expected benefits that this acquisition will bring to a long life cornerstone asset. To wrap up, our portfolio of mines is generating solid, consistent results. With our strong liquidity position and high quality projects, we have a clear path forward and we are very excited about our future. I'll now turn the call over to Tony.
Tony Giardini: Thanks, Paul. I'd like to begin with a few financial highlights for 2017. Our operations generated approximately $1.2 billion in adjusted operating cash flow, an increase of approximately 25% over 2016. Reported net earnings were $445 million or $0.36 per share compared with a loss of $104 million or $0.08 per share in 2016. This includes a net after tax non-cash impairment reversal of approximately $62 million as well as net gains related to the sale of Cerro Casale and DeLamar. In terms of the impairment, the after-tax reversal is entirely related to property, plant and equipment and includes reversals at Tasiast and Fort Knox of $143 million and $86million respectively. This is mainly a result of a modest increase in the short-term and long-term growth price assumptions used for the impairment analysis. The Tasiast Phase II project progressing as plan and additions to mineral reserve estimates at Fort Knox. This was partially offset by an after-tax impairment charge of $167 million at Paracatu, which was mainly the result of changes to the fiscal regime in Brazil. Reported net earnings also benefit from US tax reform legislation, which resulted in a net credit of $94 million. This includes $124 million related to the alternative minimum tax carryforwards that we expect to collect over the next four years with an offset related to deferred tax. Our adjusted net earnings were $179 million for the year or $0.14 per share, a year-over-year increase of $86 million or $0.06 per share. This reflects the benefit of lower costs and a slightly higher realized gold price, which was up $11 per ounce year-over-year. This result however does not include a buildup of inventory at Paracatu, which was largely sold in the first quarter at favorable gold prices and unsold inventory produced at Maricunga of approximately 50,000 ounces, which we expect to sell evenly over the course of 2018. Capital expenditures for 2017 were $898 million, in line with our guidance. This included approximately $40 million of capital related to the Tasiast Phase II and Round Mountain Phase W project, which we approved in September. Looking ahead to 2018, we expect our capital expenditures to be approximately $1.1 billion plus or minus 5%. This includes approximately $40 million of capitalized interest. Of note, our expected sustaining capital has decreased versus 2017. Our mines are well capitalized and this year-over-year decrease reflects a few factors. We brought forward capital of approximately $20 million originally planned for 2018 into 2017. We expect lower CapEx related to mobile equipment and tailings facilities across portfolio this year and we expect lower CapEx for development of Fort Knox and our Russian mines. Our guidance for both overhead and exploration expenditures are largely in line with 2017 and can be found in yesterday's news release along with our guidance for other operating costs and tax. For 2018, we are budgeting $55 per barrel for oil, an exchange rate of 60 Russian rubles to the US dollars and 3.25 Brazilian Real to the US dollar. These assumptions and the sensitivities we provide in the guidance section of yesterday's news release take into account FX and oil hedges we have in place. Our strategy in this regard is aimed at managing near-term risk related to fluctuations in foreign exchange and the input commodity prices. For example, over 50% of our 2018 exposure for oil at Tasiast and our US sites has been hedged at approximately $50 per barrel compared with a spot of approximately $60 and our budgeted assumption of $55 per barrel. We continue to maintain a strong financial position as we enter 2018 with total available liquidity of $2.6 billion. Year-over-year, our cash position increased by approximately $200 million. This is largely a result of our excellent operating results as well as non-core divestments. We are in a strong position to fund our development program from internal cash flow generation and existing liquidity. With every $100 per ounce change in the gold price above our budget assumption of $1200, we expect to generate approximately $200 million of additional cash flow for the year, positioning us well at current spot gold prices. In addition to cash on hand of over $1 billion, we have $1.6 billion of undrawn credit facility, no debt maturities prior to 2021, a trailing net debt to EBITDA ratio of 0.6 and a strong cash flow generation from our portfolio of operating mine. To sum up, we are in a strong financial position. Our focus on disciplined capital management and the strength of our liquidity position will continue to be priorities for 2018. I will now turn the call over to Lauren.
Lauren Roberts: Thank you, Tony. Our success in 2017 is a credit to the teams across the company as we achieved strong production and cost performance. Our mines in the Americas region performed well, producing 1.6 million ounces in 2017 at a cost of sales of $692 per ounce, achieving the high end of regional guidance and the low end of costs. We expect another solid year for Fort Knox, which produced 381,000 ounces at a cost of sales of $628 per ounce in 2017. Despite higher mill grades, production in the fourth quarter was lower compared with Q3 as a result of fewer tons placed on the heap leach pad. However, cost performance in Q4 was strong at $620 per ounce. Round Mountain had a very strong year, producing over 436,000 ounces at a cost of sales of $691 per ounce. In 2017, we are mining a high grade section of the ore body at the bottom of the pit. You will recall that we had record high in mill grades during the third quarter. However in the fourth quarter, we began mining in a different section of the ore body and production decreased as a result of lower mill grades. Bald Mountain produced 283,000 ounces, successfully delivering on our commitment to double production over 2016. As production increased each quarter, cost also came down significantly throughout the year. As we had anticipated, Q4 production was significantly higher at 105,000 ounces due to the timing of ore placed on the heaps. In addition to the significant increase in ounces sold, lower costs were the result of great work by the site team as they substantially improved productivity and implemented numerous cost reduction initiatives. In 2018, we expect to see production slightly lower than 2017 as we plan to be mining somewhat lower grade areas in the mining sequence. At Paracatu, as we announced on our last call, we received sufficient rainfall to restart operations at mid-November, following a four-month production curtailment due to drought conditions. The ramp up to full production went according to plan and the mine produced 66,000 ounces in the last six weeks of the quarter. Rainfall has improved over the same period last year with the region receiving approximately 87% of the historical average through January. Our implementation of mitigation measures continues according to plan with Aqua 2 now complete. Following the successful implementation of Aqua 3, which is on track to be completed this year, we expect to be even better positioned to withstand drought conditions in the future. In 2018, we expect our Americas region to produce approximately 1.5 million ounces at a production cost of sales of $750 per ounce. Turning now to West Africa, our two mines produced 464,000 attributable ounces in 2017 at a cost of sales of $775 per ounce, achieving the high end of regional guidance for production and coming in below guidance for cost. Tasiast had a strong year, increasing production by approximately 40% compared with 2016, while at the same time reducing cost per ounce by approximately 30%. The production increase was mainly a result of higher grades as we accessed more of the West branch orebody. The ramp up of mining rates in support of the expansion project is proceeding according to plan. In 2017, the mining rate increased from 50 million to 75 million tons per year and it's expected to increase further to 100 million tons per year in 2018. At Chirano, production increased by 16% compared to 2016 as continuous improvement efforts resulted in better mining efficiency and higher grades. The operation also has been benefiting from a more reliable supply from the national energy grid. This allows the mill to run more consistently thus achieving higher throughput and better recovery. In 2018, we expect our West Africa region to produce 500,000 ounces at a production cost of sales of $795 per ounce. Production is expected to be weighted toward the back half of the year due to the ramp up of Phase 1. Our Russian operations continue to be consistent performers, producing 580,000 ounces with a cost of sales of $521 per ounce, once again achieving the high end of regional production guidance and the low end of costs. Mining at the September North East Satellite deposit was completed in the fourth quarter and development of the next satellite deposit, Moroshka, continues according to plan. We expect to begin stoping at Moroshka in the second half of the year. In 2018, we expect Kupol-Dvoinoye to produce 490,000 ounces at a production cost of sales at $620 per ounce. This is lower than in 2017 due to the mining sequence in a declining grades per the mine plan. Looking at the portfolio as a whole, our priorities in 2018 will continue to be safety, delivering strong consistent operating results and managing our costs. To wrap up, 2017 was an excellent year for Kinross with all regions delivering strong results and we are focused on delivering another strong year in 2018. I'll now turn the call over to Paul Tomory.
Paul Tomory: Thanks, Lauren. Over the past three months, we've made significant progress in our suite of brownfields projects. I’ll start by giving an update on the Tasiast Phase 1 expansion, which is progressing well and remains on time and on budget with full commercial production expected by the end of June. Plant construction is now over 93% complete and remaining work is focused primarily on electrical controls and instrumentation. Mechanical installation of the primary crusher, conveyor stockpile as well as all the various CIL plant modifications are now substantially complete. We expect to begin commissioning of the primary crusher and CIL plant in late February with commissioning of the segment expected to follow in April. With Phase 1 nearing completion, we are preparing to start development in Phase 2 project with the early works of the ball mill and the power plant which are expected to begin during the second quarter. Project and construction teams are in place and overall engineering for Phase 2 is now 33% complete. Additionally, we've begun procurement with the power plant and EPCM contracts now awarded. We continue to target commercial production for Phase 2 in the third quarter of 2020. Turning now to Round Mountain Phase W, we initiated stripping initial construction and the site prep works in late 2017. This was ahead of schedule as we received the decision record from the USBLM and other necessary approvals during the fourth quarter. We’ve mobilized the construction management team and begun earthworks in the project area. Detailed engineering is progressing on schedule with heap leach engineering complete and engineering from mine infrastructure approximately half complete. The project remains on schedule to encounter initial low grade ore from Phase W in the middle of 2019. On Round Mountain, I also want to highlight that we've increased its M&A estimate by approximately 430,000 ounces since the publication of the Phase W feasibility study result, for a year ending total 2.4 million ounces. On top of that, we added approximately 420,000 ounces of inferred for a total inferred reserves estimate of 2.1 million ounces. The majority of these nuances are in the south and west walls in main Round Mountain pit. At a Bald Mountain Vantage Complex, initial construction work is now well underway and engineering is more than 80% complete. Permitting is proceeding as planned and contractors for more than half the scope of the project have been selected and mobilized. Commissioning of the heap leach pad and processing facilities is expected to begin in the first quarter of 2019. Finally, we continue to make good progress in the pre-feasibility study for Tasiast Sud located approximately 10 kilometers south of main Tasiast orebody. The study is on track for completion in the second half of 2018. Tasiast Sud was also a successful exploration story for 2017. We completed over 47,000 meters of drilling, focusing mainly at the C613 and C615 targets. Drilling has identified continuous mineralization along the 8 kilometer straight between the two targets to depths of up to 200 meters. As a result of this drilling and also refined model at Tamaya, we have added 820,000 ounces of inferred resource to our estimates. In 2018, we expect to undertake further drilling to test the extent of mineralization or depth as well as further drilling at two other targets within the area C614 and C616. At a high level, exploration of Tasiast is focused on both the potential for near service leachable oxide targets similar to what we've seen historically and also on deeper West Branch style branded iron hosted targets. A few other exploration highlights I like to discuss include Kupol-Dvoinoye, Bald Mountain and the Curlew district. In Russia, we are adding 270,000 ounces to our combined reserve estimate to Kupol-Dvoinoye and an additional 120,000 ounces to M&A resource estimates at Kupol. Exploration work in Kupol was focused in two high potential zones; the north and south expansions of the main Kupol Vein. In the north, the primary objective at drilling was to determine the extent of mineralization. Intersections continue to confirm high grade narrow vein mineralization, extending northwards by up to two kilometers from the current limit of the Kupol mine workings. This year, in 2018, we are increasing our Kupol exploration budget to approximately $14 million and the primary objectives will include a drill program in the north extension at tighter spacing to determine the potential for inferred resource additions. We also plan to continue exploring additional high potential targets. Our mines in Russia had a very good track record of adding ounces and extending mine life. Along with mine plan optimization, the exploration additions in 2017 have extended expected mill production until the end of 2022, which is another one year extension at this high grade high margin asset. As you can see from the chart, when we first acquired Kupol, the mine life was expected to end the 2017 based on 5 million ounces of gold equivalent reserves. Since then, Kupol and Dvoinoye have produced almost 1 million equivalent ounces and have a further combined 2.3 million ounces of mineral reserves and we continue to be encouraged by what we're seeing and look for future potential resource additions. Moving to Bald Mountain, after doubling the reserve estimate in 2016, our focus this past year was on target identification. The work was largely focused on extensions at existing pits in the north area in order to support operational planning and to grow existing mineral resource estimates. In 2018, we’re planning infill drill programs with a goal of upgrading mineral reserves estimates to reserves at several targets in both the north and south areas as well as a he focus on earlier stage targets within the larger Bald Mountain land package. Finally, Curlew district exploration program continued in and around the historical K2 mine, which is located approximately 37 kilometers from the Kettle River mill. We completed approximately 14,000 meters of drilling to define gaps in the mineralized zones at several underground targets and to extend mineralization along streak. Work in 2018 will be largely focused on de-watering and rehabilitating the historical K2 mine in order to conduct exploration drilling from underground to better target the extensions of mineralizations, which have been identified this past year. To wrap up, we have a very strong pipeline of organic projects and promising exploration opportunities with a potential to extend mine life and to add value to our portfolio. With that, I'll turn the call back over to Paul.
Paul Rollinson: Thanks, Paul. In closing, I want to thank our employees worldwide for their dedication and hard work and our shareholders for your continued support. I'm very pleased with how our company is performing, both across our existing operations and our development projects. To summarize, our portfolio of mines continues to deliver strong results. We have the financial strength and liquidity to invest in our future and all of our development projects are advancing according to plan with a number of key milestones in the year ahead. And with that operator, I'd like to now open up the call to question.
Operator: [Operator Instructions] Your first question comes from Stephen Walker from RBC Capital Markets.
Stephen Walker: Paul Rollinson, just a couple of questions on the power plant acquisition. I guess over the last eight years, seven, eight years that the plant's been operating, can you talk a little bit about the water levels on the Kettle River. Has there been any impact on power supply, given the drought that has occurred in that part of Brazil. Can you talk a little bit about that? And then secondly with respect to the power plant, the 155 megs that it produces, is that 100% dedicated to Paracatu or are there offtake PPAs with local communities that have to be respected or that could have a call on the power, if there is reduced output at some point in time?
Paul Rollinson: Both good questions. I guess first and foremost, just for context, I mean, Brazil has a unique sort of regulatory system as it relates to power and what that means is if you own a power plant and you put energy into the system, you can wheel it through the grid and take it out where you need it elsewhere in the country. So in fact, these power plants are not beside Paracatu. They’re about 660 kilometers west in a completely different region and it's a region that has typically experienced more rainfall and less volatility than where Paracatu is located. And I would say historically, there's been no conditions or drought or issues with lack of rainfall in that part of Brazil. So, two different areas and what we can do is just take the electrons out of the system at site. With respect to the megawatts, Paracatu needs 140 megawatts, thereabouts, peak capacity of the power plants is about 155 and we expect that it won’t be 100% dedicated to our needs. There are no sort of offtakes with other PPA or communities or that sort of thing. It's 100% dedicated and it -- these two plants that will supply about 70% to 80% of our name. So, yeah, hopefully that answers the question.
Stephen Walker: If I can have a second question, if I might, Lauren, in talking about dealing with the Paracatu water issues over the next foreseeable mine life future for the next 20 plus years, you spoke about various projects, the aqua projects, one, two and three, I believe, can you give us a sense again unless I've got confused between projects and I apologize, but can you give us a sense of what potential I guess impacting the level of confidence that you have on these projects that you have in these projects and providing you with adequate water going forward even during periods of drought?
Lauren Roberts: Let me just start out by saying that we're off to a much stronger start this year than last year. This year, so far, we're at about 87% of normal precipitation through the month of January and for reference last year, we were at about 63% for the same period of time. So we’re off to a much better start and that's important because about half of the water to consume is captured on site and then the balance comes from the other sources. So our Aqua one and two projects, these are primarily well fields and infrastructure upgrades and those are complete and in fact are delivering somewhat in excess of what we expected them to deliver in terms of total volume of water. And now, we're moving forward with our Aqua 3 project, which will start construction now and we will conclude construction on in this calendar year. And as such, we’ll receive a partial year benefit from Aqua 3 this year and we anticipate being in a position to manage about a 75% water year with no production impact. Next year, it should be about 65%. So to sum up, these projects have delivered against their objectives. We're in a stronger position than we were last year, both with precipitation and advancement of those projects and we're feeling quite confident.
Stephen Walker: With respect -- just again final follow-up, respect to production at Paracatu, your existing guidance for 2018, is that assuming only Aqua 1 and 2 and minimal rainfall, when you put together the 2018 guidance back in Q3, Q4, 2017 or I guess what I'm asking is, how confident are you that the existing Paracatu production guidance can be exceeded, given what you have in place at Aqua 1 and 2 and potentially some contribution for Aqua 3 and the greater rains than anticipated. How conservative is your Paracatu production guidance I guess is what I'm getting at?
Lauren Roberts: Well, I’ll remind you Stephen that we guide by region and we do that because we operate a portfolio of mines. And so when we're preparing our guidance, we consider the potential risks and opportunities at each of the mines and we aggregate those numbers to come to a regional guidance number and we have a high degree of confidence in our regional guidance number and our operating history has demonstrated that we're consistent with our guidance.
Operator: Your next question comes from Matthew Fields from Bank of America Merrill Lynch.
Matthew Fields: I wanted to ask you about investment grade ratings. I know, it's a dead horse at this point, but I think you have your review with Moody's coming up in March, obviously S&P didn't do anything in September. Can you just sort of talk about what the agencies are looking for and do you think over the course of 2018 an upgrade to IG is something that is within your grasp.
Tony Giardini: Matthew, it’s Tony Giardini. I'll take that question. So we expect to meet with Moody's as you pointed out before the end of Q1 and they're expected to complete their annual review process in March and then we expect to follow it up with our meeting with Fitch probably I Q2 of this year. With regards to S&P, their timing for an update is a little uncertain because they last completed an update in October 2017. So there's really no obligation on their part to do anything until later in the year, however, they may decide to do a review if they feel that the company events and general market conditions have changed enough to warrant a review. Just from a ratings perspective, right now, where Moody's be A1 stable, S&P, BB+ positive and Fitch BBB- stable. In terms of potential for an upgrade, I think it really depends on how they're looking at the space overall in terms of their assumptions on longer term gold prices. We feel that from a financial metric perspective, we're essentially investment grade in terms of how we compare ourselves to our peer group and other credits out there. So we feel that we have strong enough credit characteristics that would support investment grade credit ratings, but I think it will really come down to the S&P and Moody's in terms of their view on the sector and their focus on our operations. I would say if you go through the most recent reviews from S&P and Moody's, you can pull out some details as to what they had expected from in order to justify a move to investment grade and we're certainly meeting those expectations in terms of what have been set. So it's really going to be not so much about the balance sheet, but just looking to the execution on projects and mine life and I think we've addressed those with a lot of development projects that we have and the ability to continue to deliver. So that's what we see as a focus. We’ll be as interested as you are and other credit investors are in terms of where the credit agencies get to, but we feel very good about our financial position in terms of where we sit today and our ability to continue to deliver not just on operations, but maintain strong balance sheet characteristics.
Matthew Fields: Just as a follow up, is it as strategically important to you to achieve the upgrade to IG as it was maybe sort of last year when we spoke.
Tony Giardini: I think we're operating as an IG credit regardless and I don't see that how we run the business will change at all. Obviously, it would be a good recognition from a rating agency to be moved back up to IG, but I don't think that we are disadvantaged in any way at all and we can't really control what the rating agency does in terms of their decision making process and how they assess us. We've been very vocal in terms of highlighting that we believe that on credit metrics, we certainly are an investment grade credit. So hopefully that will come through in terms of their most, the reviews that they'll be conducting shortly.
Operator: Your next question comes from David Haughton from CIBC.
David Haughton: Just pertaining to Paracatu, I presume that the power savings from the power plant aren't factored into your guidance for this year, so the $80 per ounce is over and above the guidance. Is that correct?
Paul Rollinson: That's correct.
David Haughton: And with the water situation as you've described seems well under control, what kind of throughput could we expect at Paracatu for the year. Could we see it returning above 50 million tons per annum of combined billing of ore and tiles?
Paul Rollinson: We will be in the range of 50 million tons and call it a 0.5 million ounces.
David Haughton: Just going to Fort Knox, I know that you have the feasibility study underway for mid-18 and I’m looking at this slide on page 8 that shows the schematic of the ore grade potential layback and just looking at that layback into the Gilmore land and thinking about what the potential strip might be, is it fair to say that the Gilmore site is not as well drilled as the site that you currently own or had previously only owned.
Lauren Roberts: Yeah. I'll take that one, David. So over the course of the last 3, 3.5 years, we've probably done around 70,000 meters of drilling and a lot of effort has actually gone into that drill program. Also let me just describe what the concept here is with Fort Knox is we're looking at a series of laybacks on that side, in fact, we're looking at three or potentially more laybacks. The scope of the feasibility study is just two, the first two laybacks are in the feasibility study. And the reason that we’ve picked those two is they are better drilled than the laybacks that will come after that. So we're focusing on a better drilled area. So what we would be doing there is stripping the mining ore and the scope of the project from a physical point of view would involve the construction of the leach pad and the production for Gilmore or the remaining life of Fort Knox would primarily be a leach pad to the extent that we would draw down whatever remaining capacity remains in the tailings down. So there would be a drop down in production from current levels when we get to the leach pad only production. But to answer the question, the first couple of laybacks are well drilled and we're now focused on mine planning and infrastructure work.
David Haughton: So how much of that layback would be, strip that would just be capitalized pre-strip?
Lauren Roberts: Yeah. So we're still doing our work on the feasibility study like we do with Phase W, we'll get into those detailed numbers when we complete the FS.
David Haughton: And then also something else in a feasibility study, so there's potential for ore to be transported to the Tasiast mill together with, maybe a local dump leach. How do you see sort of fitting into the timing of life at Tasiast?
Paul Rollinson: Right. So just to recap what we see down there, we had a significant inferred ad there at 613,000, 615,000, 670,000 ounces and our resources are now up close to 0.5 million ounces. We're in the classic situation of continued drilling, stopping, doing to do engineering and as we work through this study, part of what we're determining is how much would we truck up to big Tasiast and how much of it would be dump leached in a local facility and Tasiast. Another thing that factors into this optimization equation is, as we talked about at the visit when you will recall, we may have latent incremental capacity in the big mill at Tasiast, but that remains to be seen and that also, it will be an input in the optimization calculation. However, we are focused right now on the potential for a portion to be dump leached at Tasiast and for a high grade proportion to be trucked out to big Tasiast. Overall, the strategy will be to have the high grade from Tasiast spill in the Sawtooth gas in the big Tasiast production profile. So as you can appreciate, it's a multivariate optimization exercise, which is really using west branch as the anchor.
David Haughton: Right. Because the Tasiast profile does have a very high grade portion in future where you go well over 900,000 ounces per annum. So this could be used to fill in that shoulder.
Paul Rollinson: That's right. And you will also appreciate that Tasiast we build very large stockpiles and so this will also help essentially optimize and modulate the production proportion coming from stockpiles and from the high grade in West Branch. But we do see a high grade fraction in Tasiast that would presumably come up to the mill.
Operator: Your next question comes from Greg Barnes from TD Securities.
Greg Barnes: Just the La Coipa Restart Project, how does that fit into your thinking over the medium term?
Paul Rollinson: Sure. We get the La Coipa question Greg a couple times over the years and I think we've -- the story as you recall, we suspended production at La Coipa back in ’13. We had a thesis that we had higher grade material than what we're currently mining. We went out, we drilled it. That material was higher grade. We've got a pre-fees, a nice little pre-fees with a 20% IRR, 120 million of NPV. But we haven't been in a rush to get it in to production and really what we're doing is we're just moving it down the track. We've obviously had other priorities. Last year was a big year with all the announcements on things like Gilmore, like Phase W, Tasiast 2, so it’s been in the queue. And it's moving along and it'll help us to make a decision, as we get those permits and obviously we’ve also cleaned up the ownership structure. So no decision eminently. It's not a big needle mover in our portfolio, but it's moving along.
Greg Barnes: What is the process on the permits and what kind of timeframe are you looking at in terms of getting them?
Lauren Roberts: Hi, Greg. This is Lauren. I'll just remind you that we received this, essentially the federal permits called the RCA. We received that some time ago and we've been advancing the sectorial permits. Those are now coming in and we expect to have the balance of the sectorial permits in the first half of this calendar year.
Greg Barnes: So you basically have it ready to go then?
Lauren Roberts: It would be in a very good condition.
Operator: Your next question comes from Josh Wolfson from Desjardins.
Josh Wolfson: First off on the Paracatu power plant. Is there any sort of color you could provide on what this would do for the reserves there and also what the new life of mine production costs would be?
Paul Tomory: It’s Paul Tomory here. The year-end reserve for Paracatu at the end of 2017 does not include any impact from the purchase of the power plant. Our first priority at Paracatu is to capture margin and drive cash flow. So what we'll do is we'll take the cost savings as an ASIC assist. Part of our work in 2018 will be another phase of the optimization project to determine the impact on reserves, but you're absolutely right. Paracatu is very sensitive to costs and it doesn't have much of a great tonnage curve. So the impact really comes on whether or not some of the resource, we have over 3 million ounces of resource currently on the books of Paracatu. Part of the study will be to determine how much of that mobilized to reserve if any with the realization of lower cost out of the power plant. But that's part of our work for this year.
Josh Wolfson: And then maybe just a sort of a bigger picture question. I would say the company has really demonstrated, at this point, outstanding track record for achieving its guidance with a lot of the peers outlining longer-term production and cost targets on the order of 3 to 5 years. Is there any motivation to provide more information and more color on what that outlook looks like with a number of projects advancing?
Tony Giardini: Well, look, I think for noting the track record and we do take the guidance very seriously. And we have, on this particular call, given a bit of a look out at least for the next three years saying that we do expect to be above -- at or above where we've generally been, which is in the 2.5 million and that our costs should be lower along with that higher production, but I've seen lots of five year guidance and lots of folks with five year guidance don't make one year guidance. So you've got to be a little careful when you look out five years and what we deliver, you should hold us to it and hold us accountable, but we're reluctant to get too far out in a dynamic world.
Operator: Your next question comes from Steven Butler from GMP Securities.
Steven Butler: Paul Tomory, Paul, you talked about the Round Mountain’s push back or excuse me Southwest wall resource of about just over 800,000 ounces. Of course, we stay tuned for seeing how that economics look at 1200 gold but any big picture comments you can make there in terms of grade of those ounces implied strip ratio or would there be a layback requirement, et cetera, maybe just a few thoughts?
Paul Tomory: Right. So in context, so the last year-and-a-half, we've been focused obviously on the Phase W study. Now that we've got Phase W in the plan, as our call it anchor tenant for that asset, what we now get into is a virtuous cycle of, we've got the bigger pit at Phase W. It pays the fixed costs, the G&A through the mine life. What else can we now pull in the big Round Mountain pit, the old Round Mountain Pit and through a combination of drilling, better understanding of what's there, we're hoping that we can pull another layback on that southwest side and that will be the focus of work this year. So there's the 400,000 ounces in change of M&A, 400,000 of inferred. We want to get a better understanding of what we have there and how much could pull. Now, it's not going to 800,000 ounces of reserve there, I can tell you that much, but some proportion of that will come in. And at this point, I'd say it's going to be an incremental pushback. There is going to be the movement of some stockpiles required, but we're hopeful that there is a potential reserve in there, but it's too early to say any numbers on that.
Steven Butler: And then just to come back to Tasiast Sud, you talked about Tamaya I think being a total of about 0.5 million ounces today. I don't know if you have on the tip of your fingers there the total resource at C13, C15. I know you've added 820,000 ounces to all three areas, but do you have the total resource at Tasiast Sud on the books right now.
Paul Tomory: Yeah. It’s 670,000 ounces between 13 and 15, roughly split half and half, not quite half and half, but roughly.
Steven Butler: 630 plus the 500,000 on Tamaya?
Paul Tomory: That’s right. So the total resource at Tasiast Sud is 1.15 million ounces, of which 670 is 13 and 15 and the balance is Tamaya.
Steven Butler: And the split between dump leach and mill, do you have a rough idea?
Paul Tomory: Not right now. That is the purpose of the PFS.
Operator: Your next question comes from Tanya Jakusconek from Scotiabank.
Tanya Jakusconek: Just wanted to, first of all, thank you, Paul for sharing a little bit of guidance three years out in the 2.5 million ounce range, but it would be nice to have a bit more detail, so maybe just some high level area, just looking at the mines as we go out a couple of years. We do have Round Mountain production falling off as we do have Bald Mountain. Obviously, Buckhorn is phasing out and offsetting that, we have the Tasiast production moving upward in about 2020. What mines -- are we going to be staying in this 500,000 ounce range at Paracatu for the next few years? I'm just trying to get an understanding of where we're seeing, what's offsetting, what production is helping us offset some of the mines that we're seeing come off, maybe just from a 35,000 foot level?
Paul Rollinson: Sure, I mean I think the answer on Tasiast is yeah, that’s what you should expect. Gilmore again, you’ve been there. The situation, it’s really a conveyor belt of different deposits and it's permitting and moving from permitting to development to mining and the whole objective there is to just keep that pipeline full and the good results, we’ve added, we continue to add a lot of ounces and we see a lot of gold. So I think, in a lot of the stuff, the challenge for us is, it's not dissimilar to say a couple where Paul Tomory talked about the fact that when we first owned it, the mine life was 2017, but each year we keep adding and -- but we can only look so far ahead. We have a confidence, a kind of a gut instinct confidence, but we can’t put a technical report behind some of the stuff and we just have to get the work done and then slowly but surely move it down the development pipeline and extend mine life and build resources.
Tanya Jakusconek: Paul, the guidance that you've given over the next few years, I'm assuming it's just based on the projects that you agreed to develop, like, it's not including some of these other ones that you haven’t made decisions on?
Paul Rollinson: Yeah. That's correct. And, I think there's another important aspect there, which is the reserves that we report and maybe I’ll hand of to Mr. Tomory here to kind of make the point.
Paul Tomory: Yes. So Tanya, one interesting fact about our reserves is that, of our reserves, 95% of them are in funded projects, so Phase W, phase 1, phase 2, Bald Mountain, VCP. So almost the entirety of our reserves is a fully funded project. When we talk about our three-year view, that is just those funded projects. So it doesn't include Tasiast Sud, it doesn’t include the Gilmore increment. But I'll remind you also that we did at the Fort Knox reserve, on the east wall, which does carry us on that three year window. So our reserve is essentially fully funded. And to build up, you've got the production profile for Tasiast. We’ve shared that in detail. Paracatu is in the 400,000 to 500,000 ounce range. Lauren talked about guidance in Russia, 490 for this year. We expect it'll be in that range, plus minus over that same period and we've talked about some of the Round Mountain numbers being the other main producer in the portfolio. And then the others, you can build up to that 2.5 from there.
Tanya Jakusconek: And maybe just Tony if I can come back to you and just ask you about just the CapEx at Tasiast, it's lighter than we were expecting and I think we've talked about the fact that we're on budget and on capital. So, have we seen movement of capital from 219 into 218?
Tony Giardini: Well, I think just to give you a bit of color on I think what the spend has been on Tasiast and then I’ll hand it back over to Paul. We ended the 2017 having spent about $206 million for Phase 1 CapEx and 185 million of strip overall. And when we add in January, we picked up about another $12 million. So we’re seeing that about $218 million spend overall and the balance would be expected to be spent this year. But Paul, do you want to?
Paul Rollinson: Right. So in the numbers, we have the 240 for the project and about 130 million of stripping. We are on budget on phase 1, so the balance of the Phase 1 will occur in this year and we've been pretty conservative in how we've modeled out the ramp up of construction works at Tasiast with a moment on the power plant. Overall, the phase 2 number remains at 590. So it’s just a question of timing, when do we expect to spend the bulk of Phase 2 and it's really a question of how much occurs in ’18 versus ’19 and the number that we have in the guidance is our estimates for what will occur in ’18, but overall, you've got the full numbers for the project.
Operator: Your next question comes from Frank Duplak from Prudential.
Frank Duplak: I had a quick question on the debt to partially finance the power plant purchases. Are you expecting that to be sort of a term loan or the US bond market and if you hit the US bond market, would you look to do a bigger deal and maybe do something with the 21, just curious what kind of debt you're thinking about to finance there.
Tony Giardini: Frank, it’s Tony. Thanks very much for your question. What we did in terms of press release on the purchase, we gave an indication that we're looking to finance approximately 200 million of that purchase price, but at this point, that number is not set in stone in terms of the quantum. What we're looking at is, we ended the year in a much stronger cash flow position that we had anticipated earlier where we picked up about $140 million of incremental cash flow in the fourth quarter relative to our initial forecast. So we're just over $1 billion in cash. And in terms of the financing options, we obviously have the cash. We have the ability to use credit facilities that are undrawn and then we've been presented with unsolicited term sheet for a term loan that would take out the financing to about 7 years. And then the last option is, as you point out, which is a public debt financing and I think we're going to look at all of those options. When we look at the asset, what do we see, we see an asset that has a life that goes out to 2037, which by the way is longer than the expected mine life, the current expected mine life at Paracatu, which as Paul indicated could be extended. So we probably like to match that up against that mine life as much as possible, particularly given the nature of a hydroelectric operation that is well suited to a longer term financing. So we're going to see what our options are. We're in no rush. With respect to the 2021, at this point, we don't see any likelihood of going on a shorter term basis with respect to those and it's really going to fit into the overall strategy, but I think a lot of it's going to be driven on gold price. If we have a strong gold price performance this year, incrementally gives us another $200 million of cash flow that we were budgeting for ourselves. I think we’re well positioned in terms of whichever we want to move on the financing.
Operator: There are no further questions at this time. I'll turn the call over to Paul Rollinson.
Paul Rollinson: Thank you, operator and I just thank you everyone for joining us. I know it's a busy day for many of you out there today and we appreciate you dialing in and we look forward to catching up in person in the coming weeks. Thank you.
Operator: This concludes today's conference call and you may now disconnect.